Operator: Good afternoon, and welcome to SeaChange Fiscal Fourth Quarter and Full-Year 2020 Earnings Call for the period ended January 31, 2020. My name is Diego, and I will be your operator this afternoon. Joining me for today’s call is the company's Chief Executive Officer, Yossi Aloni; Chief Commercial Officer, Chad Hassler; and Chief Financial Officer, Michael Prinn. After the market closed today, SeaChange issued its financial results for the fiscal fourth quarter and full-year 2020 and the press release. A copy of which is available in the Investor section of the company's website at investors.seachange.com. To accompany today’s call, the company has made available its prepared remarks along with the supplemental slide deck both of which are posted in the investor section of SeaChange's website. Management encourages you to download the slide deck if you haven’t already done so. Before we begin today’s call, I’d like everyone to please take a note of the Safe Harbor paragraph that is included at the end of today’s press release. This paragraph emphasizes the major uncertainties and risks inherent in the forward-looking statements that management will be making today. As we have indicated, forward-looking statements are based on management’s current expectations, and are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These risks and uncertainties are also outlined in the company’s SEC filings, including its annual report on Form 10-K and quarterly reports on Form 10-Q. Any forward-looking statements should be considered in light of these factors. Additionally, this presentation contains certain on-GAAP financial measures as that term is defined by the SEC in Regulation G. Non-GAAP financial measures should not be considered in isolation from, or as a substitute for, financial information presented in compliance with GAAP. Accordingly, SeaChange has provided a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures in the company’s earnings release issued today. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the investor relations section of SeaChange’s website. Now, I would like to turn the call over to SeaChange’s CEO, Mr. Yossi Aloni.
Yosef Aloni: Thanks, operator and good afternoon, everyone. We are pleased to announce that the transformation of our company which began in late Q1 is completed. Today, SeaChange is a new company. Over the past nine months we upgraded our Board of Directors, have a new executive team, new sales and marketing organization, and a stronger and more efficient R&D organization. In 2020, we launched the Framework and go-to-market strategy, integrating all the excellent SeaChange standalone products into a single winning software solution with value-based engagement. The initial results are just great. During the last nine months of fiscal 2020, we won more projects than SeaChange had won over the past seven years. These wins enabled us to deliver profit and growth albeit a cliff in our legacy revenues. Overall, fiscal 2020 was a positive year for SeaChange: We achieved total revenue of $67.2 million. Of this amount, Framework engagements are 55% of our total revenue. We improved our total gross margins to 65%. In the second half of fiscal 2020, where most of our revenues came from Framework engagements, our gross margin was over 70%. We generated $4.8 million in non-GAAP operating income. We realized more than $12 million in annualized cost savings and this is just the beginning. We consolidated our R&D operations to a single location, increasing our efficiency and enabling additional meaningful savings for fiscal 2021. We cleaned up all our legacy customer commitments, many of which generated negative ROI. This enables additional savings for fiscal 2021. As we exited Q4, SeaChange is a profitable, growing, lean and efficient company, and well positioned to benefit from the COVID-19 impact on the media segment. As from the current operating environment with COVID-19, roadmap and customer support, no impact, our CTO took all the needed actions in a timely manner. We maintain both our high-quality customer support and roadmap development pace. Customer engagements: we and our customers are working from home; therefore, this is slowing some of our engagements. We continue to push forward, and we expect to continue and close business. As for the opportunity, with the Framework being the only solution that can help reduce our customer video delivery operating expenses by up to 50%, we expect to see a significant boost to our business within very few months. TV providers are facing two challenges these days; an increase in operating expenses and declining revenues. Growing demand for video increases the provider’s expenses. For example, many TV providers are paying more for CDN, others are increasing network support and making immediate network investments to enable servicing the growing demand. In addition, while the TV providers' operating expense is increasing, advertising revenues and video ARPU are going down. The increasing operating expenses with declining revenues as we enter a recession is a perfect storm for the TV providers. Our Framework is the best tool in the industry to address these challenges. On the cost side, using our value-based engagement, we reduced our customers’ operating expenses to a point where their total cost of ownership to use the Framework is almost zero. We try to make it impossible for the customer to say no, while protecting our target margins. In many cases, our customers reduced the video delivery operating expenses by 50%. On the revenue side, the Framework enables the TV providers to offer web-like advertising for both live and on-demand TV, which enables them to protect and increase some of their advertising revenues. No other vendor in the industry offer a zero cost to own solution or make this claim. This amazing combination will enable us to scale up our business. We believe that within a very few months, fiscal 2021 will be a great year for SeaChange. Before I discuss our outlook and the strategic initiatives for fiscal 2021, I’ll turn the call over to our CCO Chad to provide details on the Framework wins. Afterwards Mike our CFO, will walk you through our financial performance. Chad?
Chad Hassler: Thanks, Yossi, and good afternoon everyone. It’s great to speak with you again today. We finished the fiscal year with an exceptionally strong win rate by securing 11 significant Framework deals in Q4, which was up approximately 30% over the prior quarter. The 11 Framework wins in the quarter brought the total number of wins for the year to 26, which exceeded our annual target of 20 to 25. And, as Yossi mentioned, we achieved this all in less than a year, a truly impressive feat on its own. The 26 wins we secured reflects the increasing demand we are seeing across the industry for our versatile, cloud-based, or localized video delivery solution. Framework enables content owners, service providers, and broadcasters to offer a Netflix-like service for both live channels and video-on-demand using existing cable networks and/or over-the-top. This helps these organizations stay competitive and generate new revenue streams by offering unique services and content to meet all their customers’ viewing needs. It’s not just the sheer number of wins that’s noteworthy, it’s also the healthy mix of new and existing logos we secured during the year, including significant wins in which we successfully replaced a competing, legacy solution. From the top telecommunications companies in the U.S. to leading regional service providers globally, the common denominator is that these organizations are selecting the Framework to enhance the user experience, significantly reduce operating costs, and more effectively monetize their installed base. An integral part of our success is thanks to the go-to-market strategy we implemented last April. If you’ve had the opportunity to hear Yossi or I talk about the strategy in any detail, you’ll know that it was inspired by simplicity. We started by introducing the Framework where we had truly the best components. This includes the best user interface and the best back office that instead of being sold as standalone components, which is how the company previously sold, we began selling it as a fully integrated solution. Customers were looking for a plug-and-play solution that just worked, not multiple components that they had to assemble to build a solution. While we’ve had great success selling Framework following this proven strategy, we’re not resting on our laurels and are actively pursuing additional approaches and channels to drive greater adoption and revenue streams for SeaChange. Later this year, we plan to introduce the Framework plug-in store, which will be designed to help our customers do more with the Framework through both free and premium plug-ins, providing them with further avenues to monetize their installed base. Additionally, the Framework technology enables us to change the way TV ads are sold, which, in turn, will allow our customers to recoup some of the ad revenue the TV industry has lost to the Web over the past decade. In fact, we have several on-going customer engagements and should be able to announce the initial customer deployments in the coming months. Overall, we’re really encouraged by the sales traction we achieved in fiscal 2020. We’ve entered the new year with a growing list of Framework customers, building recurring revenues through multi-year agreements, industry-leading technology, along with a robust pipeline of new opportunities that is well distributed across our geographic regions. We’re confident these factors have positioned well for continued success in fiscal 2021 and beyond. With that, I’ll turn the call over to Mike to walk us through our financial performance for fiscal Q4 and the full-year of 2020. Mike?
Michael Prinn: Thanks, Chad, and good afternoon everyone. Turning to our financial results for the fourth quarter ended January 31, 2020. We entered the fourth quarter of fiscal 2020 with $22.2 million in total backlog, excluding maintenance and legacy support. We booked new business of $17.4 million during the fourth quarter and ended the quarter with backlog of $21.8 million. Total revenue increased 14% to $19.3 million from $17 million in the same year-ago period. The increase in total revenue was driven by a $13 million increase in Framework revenue compared to no Framework revenue in the same year-ago period, offset by a $10.7 million decrease in legacy revenue. Product revenue increased 69% to $13.2 million, or 69% of total revenue, from $7.8 million, or 46% of revenue, in the same year-ago period. The increase in product revenue was driven by a $12.4 million increase in Framework revenue. Service revenue decreased 33% to $6.1 million, or 31% of total revenue, from $9.1 million, or 54% of total revenue, in the same year-ago period. The decrease in service revenue was due to lower revenue from both professional services and support revenue from customers related to our legacy products. As we mentioned on our Q3 call, these declines are consistent with our expectations as we transitioned legacy customers to new Framework arrangements and transitioned our professional services organization to our customer engineering organization as we completed legacy professional services projects. Revenue from our international markets was $11 million, or 57% of total revenue, which compares to $12.4 million, or 73% of total revenue, in the same year-ago period. The decrease in international revenue was due to a large project for a significant international customer in the fourth quarter of last year. Revenue in our U.S. market was $8.2 million, or 43% of total revenue, which was up from $4.6 million, or 27% of total revenue, in the same year-ago period. The increase in revenue from the U.S was due to our Framework offering being introduced in fiscal 2020. In terms of customer concentration, we had two customers that accounted for 16% and 12% of our total revenue compared to one customer in Q4 of last year that accounted for 42% of our total revenue. Looking at our margins. Gross profit increased to $14 million, or 73% of total revenue, from $10.9 million, or 64% of total revenue, in the same year-ago period. The increase in gross profit was due to a shift in sales to our Framework product starting in Q2 of fiscal 2020. The 73% gross margin we achieved in the quarter exceeded our annual guidance target of 60% for the fiscal year. Product gross margin was 87%, compared to 88% in Q4 of last year. Service gross margin was 42%, compared to 43% in Q4 of last year. Looking at our expenses. Non-GAAP operating expenses decreased 25% to $9.2 million from $12.3 million in Q4 of last year. The improvement reflects the continued cost savings initiatives related to the reduction of third-party costs and elimination of non-essential internal costs throughout our organization. In Q4, we eliminated all resources related to legacy professional services and support arrangements as we completed the remaining legacy projects we had underway. Our success reducing OpEx enabled us to realize three consecutive quarters of non-GAAP operating income as well as three consecutive quarters of non-GAAP net income. GAAP income from operations totaled $3.6 million, an improvement from a loss of $19.9 million in the same year-ago period. As a percentage of total revenue, GAAP income from operations for the fourth quarter of fiscal 2020 was 19%, which compares to a negative percentage in the year-ago period. Non-GAAP income from operations totaled $4.8 million, or $0.13 per diluted share, an improvement from a loss of $1.2 million, or $0.03 per basic share, in the same year-ago period. As a percentage of total revenue, non-GAAP income from operations was 25% compared to negative 7% in Q4 of last year. GAAP net loss totaled $43,000, or $0.00 per basic share, a significant improvement from a loss of $19.6 million, or $0.55 per basic share, in the same year-ago period. Non-GAAP net income totaled $1.2 million or $0.03 per diluted share. This was an improvement from a loss of $946,000, or $0.03 per basic share, in Q4 last year. As a percentage of total revenue, non-GAAP net income was 6% compared to negative 6% in Q4 of last year. Turning to the balance sheet. We ended the year with $13.9 million in cash and cash equivalents and marketable securities and had no debt. Our cash position was up $159,000 from the prior quarter, so we were pleased with that progress for the quarter, as in prior quarters and prior years we have had significant cash burn. Deferred revenue at quarter end was $6.2 million, which compares to $7.8 million at the end of the prior quarter and $10.7 million at the end of Q4 last year. The sequential and year-over-year decrease was primarily due to the decrease in legacy revenue and the timing of revenue recognized and renewal of post-warranty maintenance and support agreements during the quarter. DSOs, excluding unbilled receivables, was 66 days at the end of the fourth quarter of this fiscal year, compared to 88 days in the fourth quarter of last fiscal year. Unbilled receivables were $23.3 million, which compares to $16.7 million in the prior quarter and $5.4 million in Q4 of last year. The sequential and year-over-year increase was the result of the timing of billings from our Framework deals due to the payment terms on those deals compared to the revenue recognition for the Framework deals. Now, turning to our fiscal year 2020 results. Total revenue increased 8% to $67.2 million from $62.4 million in fiscal 2019. The increase in total revenue was driven by a $36.8 million increase in Framework revenue compared to no Framework revenue in fiscal 2019, offset by a 51% decrease in legacy revenue to $30.4 million compared to $62.4 million in fiscal 2019. We fell slightly short of the lower end of our guidance range, primarily because of a few Framework deals that pushed out of the quarter. Looking at our revenue buckets. Product revenue increased 93% to $39.9 million, or 59% of total revenue, from $20.7 million, or 33% of total revenue, in fiscal 2019. The increase in product revenue was driven by a $18.3 million increase in Framework revenue. Service revenue decreased 35% to $27.2 million, or 41% of total revenue, from $41.7 million, or 67% of total revenue, in fiscal 2019. The decrease in service revenue was driven by a $6.1 million decrease in installation and customized development services as a result of our Framework product’s out-of-the-box functionality, as well as a $7 million decrease in maintenance associated with decommissioned legacy products. Revenue from our international markets was $35.4 million, or 53% of total revenue, which compares to $38.8 million, or 62% of total revenue, in fiscal 2019. Revenue in our U.S. market was $31.7 million, or 47% of total revenue, which was up from $23.6 million, or 38% of total revenue, in fiscal 2019. In terms of customer concentration, we had no customers accounting for more than 10% each of our total revenue in the fiscal year compared to two customers who represented 24% and 11% each in fiscal 2019. Looking at our margins. Gross profit increased to $43.5 million, or 65% of total revenue, from $37.3 million, or 60% of total revenue, in fiscal 2019. As I mentioned earlier, the increase in gross profit was due to a new go-to-market strategy of our Framework product starting in Q2 of fiscal 2020. The 65% gross margin we achieved exceeded our annual guidance target of 60% for the fiscal year. Product gross margin was 85%, compared to 83% in fiscal 2019. The improvement was due to an increase in higher-margin Framework revenue in fiscal 2020. Service gross margin was 36%, compared to 48% in fiscal 2019. The decline was due to fixed costs related to the decommissioning of our legacy products in fiscal 2020. Looking at our expenses. Non-GAAP operating expenses decreased 20% or $9.8 million to $40 million from $49.7 million in fiscal 2019. As I mentioned earlier, the improvement reflects the continued cost savings initiatives related to the reduction of third-party costs and elimination of non-essential internal costs throughout the organization. Turning to our profitability measures. GAAP loss from operations totaled $3.5 million, a significant improvement from a loss of $35.8 million in fiscal 2019. Non-GAAP income from operations totaled $3.6 million, or $0.10 per diluted share, an improvement from a loss of $11.7 million, or $0.33 per basic share, in fiscal 2019. As a percentage of total revenue, non-GAAP income from operations was 5%, which compares to a negative percentage in fiscal 2019. GAAP net loss for the year totaled $8.9 million, or $0.24 per basic share, a significant improvement from a loss of $38 million, or $1.06 per basic share, in fiscal 2019. Included in the net loss for fiscal 2020 was a one-time, non-cash charge of $5.4 million related to the loss on the sale of our prior headquarters in Acton. And finally, non-GAAP net loss improved by $12 million to a loss of $1.9 million or $0.05 per basic share from a loss of $13.9 million or $0.39 per basic share in fiscal 2019. Before I hand the call over to Yossi, I wanted to discuss guidance for our fiscal 2021. Prior to the onset of COVID-19, we were prepared to provide guidance representing meaningful revenue growth in fiscal 2021. Based on our pipeline, we believed revenue guidance of $80 million to $90 million for fiscal 2021 with operating metrics consistent with our previous guidance was achievable. We are working to better understand the impact of COVID-19 and will provide our formal fiscal 2021 guidance as COVID’s impact on our business becomes clearer. This completes my financial summary. For a more detailed analysis of our financial results, please refer to today's earnings release as well as our 10-K, which we plan to file by April 15. Yossi?
Yosef Aloni: Thanks, Mike. We started fiscal 2021 with positive momentum and the best pipeline we have ever had. As Mike mentioned, prior to COVID-19, we planned to guide for $80 million to $90 million for fiscal 2021. We expect to better understand the short-term COVID-19 impact during the next 90 days. We believe that we have the right cost structure to endure the next few months and later to prevail using our value-based engagement and unique value proposition. There is one final item I’d like to mention. Recently we added a new module to the Framework, which will change the way the TV industry unsold and underutilized advertising inventory is monetized. We are currently working with several customers and will share more in the near future. With that, let me turn the call over to the operator to begin the Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Steven Frankel with Dougherty. Please state your question.
Steven Frankel: Good afternoon. So, Yossi you talked about several deals that you hoped to close in Q4 that slipped out. I wonder if you might tell us approximately how many deals slipped out of the quarter. What was their value, and have any of those deals closed thus far in Q1?
Yosef Aloni: Thanks, Steve. So, these are four deals on the international market. We did not lose any of them. We expect to close all of them. Closing the four deals would have enabled us to significantly exceed our revenue target. Unfortunately, we were not able to complete the agreement in a timely manner. It's also important to note, if you don't mind, that our win ratio including these four deals that we consider not part of the win ratio. Our win ratio for the last year was quite decent. It was over 75%. Out of which, four deals were pushed out, we did not lose them. And we are also starting with positive momentum. So overall, we feel very bullish on the future of our company.
Steven Frankel: Okay. And let's talk about solving the cash problem. Yes, you did generate some cash in Q4, but it was a relatively minor amount. I assume your plan -- internal plan was for something higher than that. What kind of cash burn might we expect in the next couple of quarters until business picks up?
Michael Prinn: Yes. It's Mike. I can take that. So, as we enter in the first three -- during the first three quarters of the year, we did burn $70 million. We had kind of a cash neutral, or we generated a little bit of cash in Q4. Granted it was a small increase, but I think it was significant in comparison to the cash burn in prior quarters and in prior years. 2020 was a transition year for us. So, we're focused on optimizing our cost structure, building a business that’s consistently generating cash, and then I think just in terms of stability, we've got a -- an accounts receivable and an unbilled base. And if we ever at some point in the future decide that we wanted to put something in place, I think that would be kind of a logical next step.
Steven Frankel: But you will burn material cash in the next couple of quarters, right? That's just your business cycle that’s been the company's history, or is there something different that says if business recovers in Q2, you'd generate cash?
Yosef Aloni: Mike, before you answer this, Steve, there's one more I think that you need to look at. You will see the updated OpEx. The challenge we had last year, we had some legacy commitments, very meaningful in terms of OpEx. The impact on these legacy commitments was both on the support organization and the R&D organization. Now that all of these legacy commitments are done and completed with negative ROI, obviously in Q1, our cost structure is much better. Therefore, it will have a significant impact on the cash that we need. Mike dido you want to join?
Michael Prinn: No, I think that makes sense. I think the only thing I will just add is, yes, we may see a little bit of a cash burn, especially maybe quarter-to-quarter. We'll give maybe some longer term outlook when we give additional guidance. But, I think like I mentioned, the -- compared to kind of legacy SeaChange, we don't expect that type of significant burns in 2021.
Steven Frankel: Okay. And just to follow-up on a press release you had, maybe was last week where you talked about the increase in streaming, and I understand that's obviously what's going on in the market. But is there any component of Framework today where you derive incremental revenue as customer activity increases?
Yosef Aloni: It's limited to new components. For instance, when customer activity is increasing, many of our Framework customers, obviously, they will require some more cloud services where we have decent gross margin and some of them will require better analytics as well. This will be positive. Also -- and this is certainly new in places where we’re going to take over the advertisement. Obviously, over there, there will be meaningful increase.
Steven Frankel: Okay. So, these are things that potentially can come into play over the next year. Where is the headcount today, and given the COVID-19 situation, are you contemplating further shrinking accounts?
Michael Prinn: Yes, so right now we're at about 275 globally. We have made some changes and I think we just are going to continue to evaluate it on a kind of a monthly and a quarterly basis. I feel like we made a lot of changes at the end of our fiscal '20 in Q3 and Q4. And so, we kind of feel like we’re lean and efficient and can leverage that and we'll continue to monitor that going forward.
Steven Frankel: Okay. And then a big picture question. If you've done 26 Framework deals, remind us how large your legacy installed base is? So even if you didn’t move outside of that universe, how many potential customers could you convert?
Yosef Aloni: So the legacy installed base it's about 120 customers. It's important to note that many, many, many of the Framework wins are for new customers and new functionality. If you are looking at our target market, so obviously we are not only servicing the legacy customer that SeaChange is used to service. It's not only a cable solution. The vast majority of the Framework customers are OTT solution. Now when you think about your future domain, so of course, cable providers are there and we will continue to service them and do our best to support them. But you also have content providers and content owners. And if you think about content owners, for instance, I'm not suggesting that Bloomberg is a customer, but Bloomberg is a content owner and Bloomberg, and this is public information. Bloomberg is starting an over-the-top direct-to-consumer service. This is not to be confused with the Bloomberg Channel. So this is another type of content provider. If you think about it, the target customers that we are facing, especially these days, so it's a growing TAM and it's a significantly growing TAM. So in this sense, there's a very meaningful opportunity to do much more. And just look at the pipeline that we have going into Q1. And pipeline means that there is an opportunity, there is budget and we are the front runners that's what we call a pipeline. It's the best pipeline we have ever had, the hundreds of millions. So are we going to close it all this year? No. We don't even estimate to meet 50% of our win ratio for this year to meet our target for the year. So we feel confident in the next few months or next few weeks are going to be challenging, maybe we continue to engage, we'll see. Is this year is going to be great? Yes.
Steven Frankel: And then maybe you hinted at some OpEx expense savings in Q1. Maybe give us an idea of what kind of year-over-year decline in OpEx we might see in Q1?
Michael Prinn: Yes. So our non-GAAP operating expenses were $9.2 million for Q4. And I think, we are generally going to be around that run rate for the next couple of quarters or for fiscal '21. And that's obviously a -- significantly better than in prior quarters, prior years.
Steven Frankel: Okay, great. That's very helpful. Thank you. I'll let somebody else ask some questions.
Operator: Thank you. [Operator Instructions] Our next question comes from Jaeson Schmidt with Lake Street. Please state your question.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. Fully recognizing sort of the COVID-19 situation makes it a bit difficult, just curious if you could comment on your confidence that a customer spending is more being pushed and not being reduced at this time.
Yosef Aloni: So, Jaeson, thanks for the question. Some customers are going to push their budget, absolutely. But look at the bright side. Almost each and every TV provider on the planet, this is just like 2008. They will have to optimize their OpEx. Who else is going to offer them a solution that will enable them to reduce their OpEx by up to 50%. There is no one. Look at all the other vendors, there are not too many of them, but the other vendors that are selling multiple components for video delivery platform, they’ve a very long and complex price [ph] list, which has nothing to do with the events -- with the operator needs and the operator OpEx challenges, and we are there. We’ve value based engagement. It's unique. So are we going to see some customers that are going to do delay their budget? Yes, sure. Are we going to see many, many customers that will move forward very fast in order to optimize their OpEx? I think we're going to see more of those. I think it's fair to see -- to say that we already see some of those or many of those.
Jaeson Schmidt: Okay. That's helpful. And I know you mentioned a pretty impressive win rate, but just curious what tends to be the primary pushback from customers today with not going with a Framework deal?
Yosef Aloni: So we reported 26 wins and I said that our win rates was over 75%. Also may be slightly more than that. So we lost very, very few opportunities. In the 25% that we did not win, I'm also including some of these different push [ph] to this year. So we lost very, very few opportunities. It's hard to say. We lost so few, so -- and each one has its own reason for losing it. And losing is not only to another vendor, in some cases losing it means that we initiated engagement and we were not able to convince the customers to close the engagement within the year.
Jaeson Schmidt: Okay, that's fair. Okay. Yes. And then just a quick question on the Framework plug-in store. Is this really targeted at a different segment of the market or is this viewed more as additive for a customer that already has gone with a more kind of broad based Framework deal?
Yosef Aloni: So if you think about the Framework, the best analogy probably is a phone. So SeaChange used to have all this gauge components like a CPU power button, volume back and we took all these components and now we are selling the best-in-class form. Each and every one that has this phone will have access to the [indiscernible], to the plug-ins. So this is something that is going to be meaningful to each and every single customer. And within nine months we were able to win 26 customers, deliver the vast majority of them, the vast customer majority of them. I think we should be able to win a more meaningful number this year. And then once these decent number of Framework customers will have access to the Framework App Store, the plug-ins, if you will, we will see some revenue contribution over there as well.
Jaeson Schmidt: Okay. That's helpful. Thanks a lot, guys.
Michael Prinn: Thanks, Jaeson.
Yosef Aloni: Thank you, Jaeson.
Operator: Our next question comes from George Marema with Pareto Ventures. Please state your question.
George Marema: Afternoon, Yossi.
Yosef Aloni: Hey, George.
George Marema: So on the -- can you illuminate a little bit on the 120 legacy installed base? What sort of revenue opportunities in fiscal 2021 does that represent to us?
Yosef Aloni: So we can convert some of this installed base into Framework. So the 120, these are customers that are using SC [ph] change component. They are not using the Framework. The vast majority of them are using one single component with many other components from several vendor. In terms of value, probably the average value of this of the current installed base, the average Framework value is about 2 million to 4 million. Obviously, these are -- the vast majority of them these are cable providers. So the pace of this is slightly slower. But with the COVID-19 impact on the market and the cable segment, we should be able in a position where maybe in the second half of the year we are going to be able to convert many of them to the Framework. If you think about cable providers similar to 2008 or even worse, in fact, since they have to make investments in the networks, even the smallest operators to continue and support the growing demand for bandwidth. So their OpEx are increasing. And then similar to 2008, their video ARPU is going to go down. We already see this report, video ARPU is going down. So we have our back office installed at many cable providers, so we see this is also what they share with us. Then you will see that in a public manner, probably in a month or so when they will publish their report. So their OpEx is increasing, their revenues are decreasing. We shouldn't be able to accelerate the conversion of some of the installed base into Framework.
George Marema: Okay. And then are you -- is it true that although maybe some people are sort of freezing their budget for the moment, for the next few weeks to see what happens, aren't some people in video accelerating their plans due to the necessity to go online immediately due to the [indiscernible] like movie theaters and other content providers need to rush to market? Are you seeing some -- on the other side of the table increase engagement from certain parties?
Yosef Aloni: Oh, yes, sure, absolutely. You see more demand for content owners. Some content owners like the one you mentioned, obviously, they're looking to move very, very quick and fast. The fact that we have a solution, running on AWS obviously enable us to go to production fairly quickly. For instance, there's a customer in the Nordics that we were able to take the production with hundreds of thousands of subscribers within very, very few months. So we see more demand and I believe that we have the right solution to support this demand.
George Marema: Okay. Are you noticing any trends among regions, like is Europe stronger or weaker, North America stronger or weaker or Latin America stronger, weaker in Q1 here right now? Any geography trends?
Yosef Aloni: Yes. So we have, in terms of opportunity size, I think it's fair to say that what we have today going into Q1 and obviously this is a pipeline that we built last year, the deals that we see today are significantly higher than everything that we have managed to close last year. And obviously the larger deals require a longer engagement session, but now they are getting there. In terms of new demand, most of the new demand is in the Americas, where some content providers, content owners are faster to react. Europe overall is a more conservative market. So it's moving slightly slower over there in terms of new demand, not current demand. Now, if you think about the Framework, it's been out only for less than nine months. So we started to offer the Framework, well less than nine months for last year. We started to offer the Framework, -- this is the Framework at [indiscernible] of last year, this was in '18. And then we started to deliver within 60 days or so after the introduction of the Framework. So on the road to success its quite good and the fact that we have this great, this amazing pipeline, it's because of two reasons. Because of the fact that we have the right technology and obviously customers acknowledge that. And also the value based engagement, which enable us, especially during these days to take new content providers in a way that will enable them to launch a service with cost control. And current TV providers in a way that will enable them to control their OpEx.
George Marema: Okay. And are you guys still expecting somewhere in the ballpark of a similar service revenue per quarter in the next couple of quarters for the 2021?
Yosef Aloni: So …
Michael Prinn: We will …
Yosef Aloni: Sorry, go ahead, Mike. No, no please go ahead.
Michael Prinn: Yes. So, obviously, the service revenue was a big piece of legacy SeaChange. We will definitely see a decline in that in the next couple of quarters. So service revenue for Q4 was $6 million. We still have probably maybe $5 million to $10 million in total of legacy revenue to transition through the year, but you will see a decline in the services. And then that will be offset with an increase in product revenue, which is primarily what the Framework revenue is.
George Marema: And when you sell a Framework deal, is there any service component that gets blood through?
Michael Prinn: Yes, there is. And so -- there is a component. So, roughly it's maybe say two thirds, one third. So if it's a $3 million deal, it's generally two pieces. It's $2 million of a software license. And then the remaining $1 million is a services and support agreement. And that's generally over the term of the contracts, which are generally, four or five years. So that other million would come in ratably. And so you can see this in our tables in the press release. We are starting to build up a piece of the framework that is recurring. But obviously, given that mix, two thirds, one third with one third being spread over the life, you're seeing that build [indiscernible] a smaller scale right now.
George Marema: And on the Framework, is it earned monthly, quarterly or annually payments? How is the cash flow at those revenues in the out years?
Michael Prinn: So the model typically, there's revenue recognition and there's cash. So revenue, I think we went through the two pieces, right …
George Marema: Right, right.
Michael Prinn: … with a license when we deliver it and then ratable. Generally the first, kind of 26 deals or so that we sold with the new go-to-market, we've been spreading the payment terms out ratably. So in that same $3 million deal where we just walk through where our revenue comes in from a billing perspective, that will be ratable over the 4 to 5 years.
George Marema: And you bill it once a year or once a quarter or once a what?
Michael Prinn: Sorry, they're generally once a year or once a quarter.
George Marema: Okay. So …
Michael Prinn: The most part, I would say, majority is annually. Yes, So they'd be assessed kind of the [multiple speakers].
George Marema: So $5 million deal over 5 years, you get a $1 million year one, $1 million year two, all of this. So if you build it April 1, 2019, it'd be a $1 million, April 1, 2019, a $1 million April 1, 2020, a $1 million April 1, 2021, is that [indiscernible]?
Michael Prinn: Correct.
George Marema: Okay. Thank you.
Michael Prinn: Yes.
George Marema: Perfect.
Operator: Thank you. There are no further questions at this time. I will turn the floor back to Mr. Yossi Aloni for closing remarks. Thank you.
Yosef Aloni: Thank you everyone for joining us today for the SeaChange fourth quarter and fiscal year 2020 conference. You may now disconnect.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a great evening.